Operator: Greetings. And welcome to the Frequency Electronics Year-End Fiscal 2022 Earnings Release Conference Call. At this time, all participants are in a listen-only mode.  As a reminder, this conference is being recorded. We will forego a question-and-answer session at the end of the call and look forward to speaking to investors in the days ahead. Any statements made by the company during this conference call regarding the future constitute forward-looking statements pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements inherently involve uncertainties that could cause actual results to differ materially from the forward-looking statements. Factors that would cause or contribute to such differences are included in the company's press releases and are further detailed in the company's periodic report filings with the Securities and Exchange Commission. By making these forward-looking statements, the company undertakes no obligation to update these statements for revisions or changes after the date of the conference call.  It is now my pleasure to introduce your host, Thomas McClelland, Interim President and Chief Executive Officer.
Thomas McClelland: Hi. This is Tom McClelland. I've worked very closely with Stan Sloane for the past four years and I wish him all the best in his retirement. Now we've been through a really challenging year financially, but I'm actually quite excited about our prospects going forward. The development challenges which we've struggled with during the last year are behind us, and we're poised to begin delivering cutting-edge hardware for several important space programs. In addition, we're really quite excited about new technology under development, which is largely funded externally. We're developing next-generation precision timing systems, in particular, pulse laser-based rubidium atomic clocks as well as mercury ion atomic clocks. These developments are on budget and on schedule for demonstration in 2023 and 2024, respectively. We're also in the process of positioning our technology to support the space community's migration to small satellites, leveraging our core precision quartz and atomic clock technology, but with additional digital processing capabilities in order to provide better performance, but at reduced size, weight, power and cost. So I've worked hard at FEI for the last 38 years to keep our technology current and also to make sure we deliver reliable quality products for our customers. I'm proud of the enduring success we've had in this regard.  Although the last year has been tough financially, FEI is strong and has a tremendous technical arsenal, which we're committed to successfully deploying in position, navigation, timing and other applications. I've seen many ups and downs during my four-decade tenure here at FEI, experience which has sometimes been humbling and inherently tempers any predictions for the future.  This being said, I'm extremely bullish regarding FEI's outlook. Although it was a difficult year, we had some significant wins and expect additional awards in the upcoming year. I look forward to leading our committed workforce at FEI, including a new generation of very talented engineers and scientists. At this time, I'll turn things over to Steve Bernstein.
Steven Bernstein : Thank you, Tom, and good afternoon. For the fiscal year ended April 30, 2022, consolidated revenue was $48.3 million compared to $54.3 million for the same period of the prior fiscal year. The components of revenue are as follows: revenue from commercial and U.S. government satellite programs was approximately $26.1 million or 54% compared to $27 million or 50% in the same period of the prior fiscal year. Revenues on satellite payload contracts are recognized primarily under the percentage of completion method and are recorded only in the FEI-New York segment. Revenues from non-space U.S. Government/DOD customers, which are recorded in both the FEI-New York and FEI-Zyfer segments, were $19.6 million compared to $24.8 million in the same period of the prior fiscal year and accounted for approximately 41% of consolidated revenue compared to 46% for the prior fiscal year. Other commercial and industrial revenues were $2.6 million compared to $2.5 million in the prior fiscal year. Intersegment revenues are eliminated in consolidation. The majority of the decrease in sales for fiscal '22 were in the FEI-Zyfer segment caused by two main factors: the first was a delay in expected bookings and the second was the relocation of the manufacturing from the California facility to the New York facility.  It is important to note, in both cases, the revenue was not lost. Instead, the company believes it has shifted into fiscal '23. For the fiscal year ended April 30, '22, gross margin and gross margin rate decreased as compared to the same period in fiscal year '21. Decreased revenue in the FEI-New York segment, which included FEI-Elcom as well as the FEI-Zyfer facility, had a comprehensive impact on absorption. Delays in awards of anticipated contracts had a significant downstream effect on revenue, with the resulting reduction of gross profit. Supply chain impacts resulted in delays on contracts, executions and caused increased engineering costs necessitated by changing suppliers or reengineering certain subassemblies to replace parts that were unavailable or which had unacceptable delivery schedules. Several development-stage programs experienced substantially higher than anticipated engineering costs due to problems encountered in the design phase. Additionally, an anticipated settlement of a request for equitable adjustment with respect to one of these programs did not materialize, which would have the effect of reducing the cost impact. The program is cutting edge technology with extremely challenging specifications. However, the company believes progress continues to be made, and the majority of the challenges have been overcome as of the date of this report. For the fiscal year ended April 30, '22 and '21, selling and administrative expenses were approximately 24% of consolidated revenue. The decrease in SG&A expenses was mainly due to the decrease in professional fees relating to litigation for which the company has received insurance reimbursement for a portion of the legal fees, bonus expense and commission expense. R&D expense for the fiscal year ended April 30, '22 and '21 increased to $5 million from $4.7 million, an increase of $300,000 and were approximately 10% and 9% of consolidated revenue. The increase in R&D expense year-over-year was due to new and ongoing R&D projects as the company continues to invest in R&D to keep its product at the state-of-the-art. For the fiscal year ended April 30, '22, the company recorded an operating loss of $8.1 million compared to an operating loss of $1 million in the prior year. Operating loss was a result of the same factors discussed in gross profit. Of most significance was the impact of increased engineering costs incurred on the development programs and in the delay in Zyfer bookings, including the relocation of manufacturing from the California facility to the New York facility. Other income consisted primarily of investment income derived from the company's holdings of marketable securities, which primarily consist of fixed income securities. Earnings on securities may vary based on fluctuating interest rates, dividend payout levels and the timing of purchases, sales, redemptions or maturities of securities.  Included in other income expense for the fiscal year ended April 30, '22 is a $795,000 impairment charge related to the company's investment in Morion. Included in other income expense for the fiscal year ended April 30, '21 was a collection of a $1 million note that was due relating to the company's sale of its Belgium subsidiary to a European entity in 2018. This yields a pretax loss of approximately $8.7 million compared to $500,000 pretax income for the prior fiscal year. For the fiscal year ending April 30, '22, the company recorded a tax provision of $1,000 compared to a tax benefit of $204,000 for the prior fiscal year. Consolidated net loss for the fiscal year ended April 30, '22 was $8.7 million or $0.93 per share compared to $680,000 of net income or $0.07 per share in the previous fiscal year. Our fully funded backlog at the end of April 30, '22 was approximately $40 million.  The company's balance sheet continues to reflect the strong working capital position of approximately $34 million at April 30, '22 and a current ratio of approximately 2.5 to 1. Additionally, the company is debt-free. The company believes that its liquidity is adequate to meet its operating investing needs for the next 12 months and the foreseeable future.  Thank you for your time today, and we look forward to speaking with investors in the future.
Operator: Thank you, ladies and gentlemen. This concludes today's event. You may disconnect at this time. And have a wonderful day. Thank you for your participation.
Q - :